Operator: Good evening, and welcome to Dyadic International's Q2 2025 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, August 13, 2025. I would now like to turn the call over to Ms. Ping Rawson, Dyadic's Chief Financial Officer. Please go ahead.
Ping Wang Rawson: Thank you. Good evening, and welcome, everyone, to Dyadic International's Q2 2025 Conference Call. I hope you have had an opportunity to review Dyadic's press releases announcing financial results for the quarter ended June 30, 2025. You may access our release and Form 10-Q under the Investors section of the company's website at dyadic.com. On today's call, our President and Chief Operating Officer, Joe Hazelton, will give a review of our second quarter 2025 business and corporate highlights and provide a commentary on the strategic direction of the business. I will follow with a review of our financial results in more detail, and we will be joined by our CEO, Mark Emalfarb, for a brief question-and-answer session. At this time, I would like to inform you that certain commentary made in this conference call may be considered forward-looking statements, which involve risks and uncertainties and other factors that could cause Dyadic's actual results, performance, scientific or otherwise, or achievements to be materially different from those expressed or implied by these forward-looking statements. Dyadic expressly disclaims any duty to provide updates to its forward-looking statements, whether because of new information, future events or otherwise. Participants are directed to the risk factors set forth in Dyadic's reports filed with the SEC. It is now my pleasure to pass the call to our President and COO, Joe Hazelton. Joe?
Joseph P. Hazelton: Thanks, Ping, and thanks, everyone, for joining us today. Since I first joined the company in 2022, we've moved from being a platform-focused organization with deep science but limited commercial traction to one with a clear execution-driven strategy. Over the past 3 years, we've reshaped our leadership team, rebranded our platforms and realigned our priorities towards high-growth nontherapeutic markets where we can generate sustainable revenue more predictably and at scale. With our precision engineered fungal expression platforms, C1 and Dapibus, we can produce high-yield animal-free recombinant proteins at large scale and lower cost across life sciences, food nutrition and bioindustrial applications. This is no longer just a platform story, it's a product story. We are now at the commercial inflection point and Dyadic is built to compete and win in these markets. The second quarter of 2025 underscored the company's commitment to the new strategy. We've completed our leadership and operational transformation from a technology-focused R&D company to a market-facing revenue-driven biotechnology business. On August 1, we introduced our new name, Dyadic Applied BioSolutions, that reflects our sharpened mission of delivering applied biotechnology solutions to meet the growing global demand for non-animal-derived high-value proteins and enzymes. Our proprietary platforms provide the foundation for our business. C1 was originally developed for large-scale industrial enzyme production, and over the years, we've reengineered it into a highly versatile cGMP-compatible protein production platform. To date, it's demonstrated its ability to produce pharmaceutically-relevant high-value proteins at exceptional yields and low cost. It is fully scalable, delivering the quality and consistency needed for applications in cell culture media, molecular diagnostics and other life science markets. Dapibus has been purpose-built for the food, nutrition and industrial sectors. It has been optimized to produce functional proteins like alpha-lactalbumin, human lactoferrin, and non-animal dairy enzymes as well as bioindustrial enzyme solutions. This optimization allows us to meet the specific performance and regulatory needs of these markets while maintaining competitive economics. Both platforms share advantages over traditional production systems. They enable faster development time lines, higher production yields, lower manufacturing costs and completely animal-free processes. Together, they give us the ability to tailor protein production to multiple verticals efficiently, reliably and at commercial scale, helping us address the growing global demand for sustainable precision engineered proteins that power progress. We recently strengthened our balance sheet by completing a $5.3 million equity raise on August 1. This provides the resources to fund late-stage product development, scale-up and multiple upcoming product launches. With this stronger financial foundation in place, we're now turning our attention to executing our strategic priorities across our core business segments of life sciences, food nutrition, and bioindustrial. Our strategy focuses on high-demand nontherapeutic markets where our platforms enable rapid, cost-effective and scalable protein production, supporting products that generate recurring revenue and long-term value. In life sciences, we're advancing several high-value programs to deliver scalable animal-free solutions for cell culture media and molecular biology applications. These solutions support critical industries such as the biopharmaceutical manufacturing, cell and gene therapy, regenerative medicine and cultivated meat production where highly consistent animal-free components are essential to ensure safety, regulatory compliance and reproducible performance. We're focused on commercializing albumin, transferrin, and fibroblast growth factors or FGFs, 3 of the most important functional proteins in cell culture media. Albumin helps stabilize and transport nutrients, transfer and delivers irons for healthy cell growth, and growth factors trigger cell expansion. Producing these proteins at scale with consistent quality is essential but can be costly. Our protein production platforms address this by enabling high-yield, low-cost animal-free production, helping customers lower costs and reduce reliance on animal-derived components. In partnership with Proliant Health & Biologics, we remain on track to launch recombinant human albumin in 2025. We've already received $1 million in milestone payments and anticipate an additional $500,000 milestone in the third quarter related to productivity improvements along with future royalties from commercial sales. Our animal-free recombinant transferrin has demonstrated performance equivalent to leading reference standards in cell proliferation testing, with sampling to potential partners and validation underway for diagnostic and research use. Likewise, our recombinant FGFs have shown comparable performance to market references in supporting animal muscle cell growth, and we're actively sampling these products into cell culture, diagnostics and research markets. Beyond cell culture media, we're also targeting the global DNA and RNA molecular biology reagent market. This market is expected to see sustained growth as demand increases for cell and gene therapy, molecular diagnostics and next-generation sequencing. High- purity animal-free enzymes are essential to these applications and supply chain reliability is critical for customers. Our lead product in this area is RNase-Free DNase1, a key reagent used in biopharmaceutical manufacturing, gene therapy production and molecular diagnostic workflows to remove DNA contamination without degrading RNA. We have successfully scaled up production at our European CDMO partner, with validation completed and research-grade manufacturing underway. Sampling is in progress and we're in active discussions with potential commercial partners. In food nutrition, we're targeting a rapidly expanding global market for sustainable, functional and animal-free proteins, a high-growth category as consumer preferences, regulatory shifts and supply chain pressures push companies towards next-generation ingredients. This includes specialized nutrition markets such as infant formula, medical nutrition and wellness products where the demand for functional recombinant proteins with high purity and consistent quality is especially strong. Our recombinant alpha-lactalbumin is a prime example. It's a key whey protein in human and bovine milk that provides both nutritional and functional benefits, including essential amino acids and the ability to improve texture, solubility and stability in formulations. Producing alpha-lactalbumin without animals allows manufacturers to avoid dairy supply constraints, reduce their environmental footprint and reach consumers seeking sustainable or allergen-free alternatives. We've developed several production strains for alpha-lactalbumin for both the food and research markets and are actively sampling with potential partners in the food nutrition segment. And we're assessing manufacturing options for research use with initial revenues expected in 2026. Human lactoferrin is another high-value protein in our portfolio. Known for its antimicrobial, anti-inflammatory and immune supportive properties, it is used in premium nutrition products, dietary supplements and functional foods. We're currently exploring potential partnership opportunities in the precision fermentation segment for food nutrition while we evaluate the potential for research use. Additionally, non-animal dairy enzymes are vital to improving processing efficiency yield and product quality in dairy manufacturing. Producing these enzymes recombinantly with our platforms allows for better cost control, enhanced functionality in a fully animal-free supply chain, a growing requirement for both plant-based and hybrid dairy products. In our partnership with Inzymes, we received a $250,000 milestone in the second quarter for productivity gains in this enzyme program, with a first product launch targeted for late 2025 and additional enzyme candidates progressing under the existing license. In the bioindustrial segment, we're helping companies address some of the largest and most persistent challenges in industrial biotechnology, such as reducing feedstock costs, improving process yields and replacing petrochemical or animal-based inputs with sustainable bio-based alternatives. Our EN3ZYME product developed partnership with Fermbox Bio is a great example of how our technology delivers value in the bioindustrial segment. EN3ZYME is an enzyme cocktail that converts pretreated agricultural residues into fermentable sugars more efficiently, enabling lower-cost biofuel production and other downstream uses. We've achieved high yields at lower cost, making large-scale deployment more commercially viable. Following Fermbox's delivery on its initial purchase order, we're actively sampling with additional prospective customers. We're engaged with companies in the biomass processing, biofuels and other industrial markets, both to expand the adoption of EN3ZYME and to advance our pulp and paper enzyme programs. We're developing tailored enzyme cocktails for pulp and paper applications to improve fiber processing efficiency, reduce chemical usage and lower energy requirements as well for the biogas industry to increase methane yields from organic waste. We're actively engaged in sampling companies in these segments and anticipate seeing revenues from our bioindustrial efforts in 2026. While our core focus is now on high-value nontherapeutic proteins with shorter paths to revenue, we continue to advance a select set of legacy vaccine and therapeutic R&D programs through fully-funded partner-led collaborations. These initiatives supported by world-class organizations such as the Gates Foundation, CEPI, and Fondazione Biotecnopolo di Siena extend the reach of our C1 platform into areas like monoclonal antibodies, virus-like particles and other complex biologics. As part of our $3 million grant from the Gates Foundation, we're developing low-cost monoclonal antibodies for malaria and RSV, 2 diseases that continue to place a heavy burden on global health. We achieved key milestones in this program, triggering a $1.5 million installment in the second quarter. Through CEPI and Fondazione Biotecnopolo di Siena, we're participating in a project valued at up to $2.4 million aimed at advancing recombinant protein vaccine development. Similarly, the European Vaccines Hub, a EUR 170 million EU-backed initiative, is evaluating our C1 technology for its potential to accelerate and lower the cost of vaccine and antibody production. We're also working with Uvax Bio under a CEPI award to develop a MERS vaccine candidate and to further assess C1's ability to enable rapid cost-effective manufacturing. In each of these programs, our role is clear: bring the speed, scale and cost efficiency of our protein production platforms to partners tackling some of the most pressing health challenges worldwide while we remain laser-focused on delivering commercial products in the high-value life sciences, food and bioindustrial markets. As we move forward, Dyadic remains deeply committed to delivering sustainable value to our shareholders and partners. With a growing pipeline, strong network of collaborators and platforms built for efficiency and scalability, we're well positioned to lead in the global production of non-animal-derived protein enzymes across our core business verticals, meeting the demands of today and shaping the solutions of tomorrow. With that, I'll now turn the call over to our Chief Financial Officer, Ping Rawson, who will walk us through our second quarter financial results. Ping?
Ping Wang Rawson: Thank you, Joe. I will now go over our key financial results for the quarter ended June 30, 2025, in more detail. You can find additional information in our earnings press release and Form 10-Q, which we filed earlier today. Total revenue for the quarter ended June 30, 2025 increased to $967,000 compared to $386,000 for the same period a year ago. The increase was driven by the $250,000 milestone revenue upon the achievement of commercially-viable target yield related to the Inzymes agreement and grant revenue from the Gates Foundation and CEPI program. Cost of research and development revenue and cost of grant revenue for the quarter ended June 30, 2025, increased to approximately $614,000 compared to $302,000 for the same period a year ago. The increase was related to the cost of grant revenue from the Gates Foundation and CEPI. Research and development expenses for the quarter increased to $629,000 compared to $516,000 for the same period a year ago. The increase was driven by a rise in the number of active internal research initiatives undertaken to expedite product development. G&A expenses for the quarter decreased to $1,437,000 compared to $1,608,000 for the same period a year ago. The decrease reflected reductions in business development and investor relation expenses of $82,000, accounting and legal expenses of $41,000, insurance expenses of $28,000, and management incentives of $22,000. Loss on operations for the quarter decreased to $1,729,000 compared to $2,043,000 for the same period a year ago. Net loss for the quarter decreased to $1,794,000 or $0.06 per share compared to $2,045,000 or $0.07 per share for the same period a year ago. As of June 30, 2025, our cash, cash equivalents, restricted cash and cash equivalents and the carrying value of investment-grade securities, including accrued interest, were approximately $7.3 million compared to $9.3 million as of December 31, 2024. As Joe mentioned earlier, on August 1, 2025, the company closed its public offering of 6,052,000 shares of its common stock at a public offering price of $0.95 per share. The net proceeds from the offering were approximately $5.3 million after deducting underwriting discounts and commissions and estimated offering expenses. The company intends to use the net proceeds of the offering for working capital and general corporate purposes such as product development, sales and marketing. For the rest of 2025, we anticipate achieving our third and last milestone of $500,000 in revenue from Proliant along with additional income from DNase1 and other products while maintaining our operating expenses at or below last year's level. We continue to strengthen our balance sheet to support our near-term revenue growth with branding strategy and accelerate our commercialization opportunities for products and applications. With that, I will now ask the operator to begin our Q&A session. [Operator Instructions] Mark Emalfarb, our CEO, will join us, and I will ask the operator to begin our Q&A session, after which Joe Hazelton will provide closing remarks. Operator?
Operator: [Operator Instructions] And our first question will come from John Vandermosten with Zacks.
John D. Vandermosten: First question is on cash burn rates. Now that we have some anticipated product revenues coming in, what is the updated cash burn expected for this year and also over the next 12 months or so?
Ping Wang Rawson: Thank you for having you here. Like I mentioned in my script, I think we definitely expect additional revenue from our product and milestone payments. And we expect our operating expenses including G&A and the R&D will remain at the same level as last year, if not less. So I think overall, it really depends on the sale of the product for the third quarter and fourth quarter. I think at this point, we do not provide a specific cash burn guidance as we normally do. But I think you can at least expect this equivalent cash burn as last year or even less, again, depending on revenue for the upcoming 2 quarters. I hope that answers your question.
John D. Vandermosten: Yes. I mean, it's probably uncertain on how those product revenues are going to come out so I understand that. Second question is on the proteins. The leading protein seems to be albumin, transferrin and DNase1. And I think I understand albumin and Proliant how that works. But can you tell me where that extends on the other 2 in terms of time line and milestones on commercialization?
Joseph P. Hazelton: Yes, John, it's a great question. So DNase1 is the more commercially ready one. We've completed scale-up, as I mentioned on the call, at our CDMO and now we're beginning to manufacture research-grade product, which means we're also beginning to negotiate and work through OEM and supply agreements with potential customers in the market. So I think from a revenue standpoint, that's probably the first one. And then transferrin, we've done some initial validation. It actually looks like we may have some better performance metrics as far as its ability to withstand temperature in applications. So we're currently further evaluating that and also looking at potential scale- up options to at least start producing, in addition to our sample quantities, start producing small amounts of saleable quantities for the research market. So I think that would probably be second, but we're probably looking at late 2025 and into 2026 because we do need to complete the commercial manufacturing process.
Operator: And our next question comes from Dick Williams with Williams Resource Group.
Richard Williams: Terrific job. It's incredible the amount of opportunities that we seem to have on our table. But the 1 area maybe you can give me a little color on is the Fermbox deal with the ag waste and whatever else fits in that category. Could you give a color in terms of the market that is over there, where they are currently using it, the customer they have that they're selling it to and the opportunity to go to more customers over there? And then do we have any opportunities here in the U.S. that you are looking at or have talked to thus far to determine if we can do something here?
Joseph P. Hazelton: Dick, it's a great question. In terms of overall market potential, the bioindustrial enzymes or biofuels and biogas is a very large market. Majority of them are produced recombinantly today and that's approximately about a $10 billion market. The first customer base or at least it seems the ones that are a little more aggressive are based in India as well as some in Asia Pacific as well. So that's where the majority of the sampling and majority of our efforts are kind of focused. As far as on this side of the pond, that is starting to increase but not to the same extent. The focus on biofuels obviously in the U.S. and North America isn't quite as strong as it is overseas. But the interest is picking up and we're starting to evaluate potential manufacturing options here in the U.S. because as we look at these enzyme cocktails that we're starting to produce, it's not just for biofuels and biogas. We're looking at the other applications that they can be used for such as pulp and paper, textiles, areas that Dyadic knows very well and has been in the past. So we're evaluating those opportunities as we move forward as well.
Operator: Our next caller is Glenn Primack with Lusa Investment Group.
Glenn Primack: I have a couple of questions, one on the planned uses of the capital raise. Do you have the back-end systems in place already to execute on the new model and be able to measure progress in real time?
Joseph P. Hazelton: In terms of the -- are you talking in terms of being able to process orders or...
Glenn Primack: Yes, like the MIS, management information system. So like if you need to see how something is going, you can get it without scrambling around.
Joseph P. Hazelton: I think at least from my standpoint initially, I think we have the appropriate systems in place for -- to handle the orders because we're doing it in bulk sale. So I don't anticipate a need for a lot of additional resources in terms of the infrastructure to support that. And as far as we're reporting, I don't know, Ping, if you have any ideas on that?
Ping Wang Rawson: Yes, I think it's pretty straightforward. Our product is very high value and very easy to ship around and we have been shipping similar product for research purposes. So we definitely don't see the difference of what we are doing right now other than having more volume in the future. So we are talking to potentially distribution center and those for logistic purposes. But again, I do not see that could be a potential issue as we are scaling up and making our growth potentially to more products. For infrastructure, definitely as we build more, we will look out to additional resources and platform and outsource capacities to support business growth.
Glenn Primack: Okay. And then my second question, is there -- as you head into '26, have you already put together a 3-year plan or will you start that sometime in the fall?
Joseph P. Hazelton: We're starting that in the fall. We've actually begun the process. But again, we have to evaluate some of the additional products that we have in the pipeline. We have to validate them in applications so we can determine the appropriate forecast for these products and in the segments we're going to be able to launch versus what our potential partners can do. But that is on the docket.
Operator: Our next question comes from Robert Hoffman with Princeton Opportunity Management.
Robert Hoffman: As Mark will attest, I've been a patient shareholder of Dyadic for a long time. And so my first question is pretty straightforward. Is there any conflict with DuPont in terms of now that you're doing more industrial type of activity?
Mark A. Emalfarb: Yes. Rob, it is Mark. I'm not quite sure what you mean by conflict, but we don't see any...
Robert Hoffman: Well, since you guys have -- I thought it was that you were -- you basically sublicensed it back from medical stuff. Wasn't that the structure of the purchase or did I hear that wrong?
Mark A. Emalfarb: No, no, you're 100% correct but we had a noncompete that ended 3, 4 years ago. And then we've completely -- we're not using C1 for industrial products. We're using Dapibus which we've recreated, so we don't see any conflicts.
Robert Hoffman: So there's no issue with DuPont coming back and saying, "Hey, we should get some percentage of your revenue."?
Mark A. Emalfarb: As far as we see, the answer is no.
Robert Hoffman: Okay. I was hoping that was the answer. And then just very quickly, post this recent deal, can you give us a fully diluted share count? Maybe it's in the Q and I haven't opened that yet, but if you could give that, that would be great.
Ping Wang Rawson: So we issued 6,052,000 shares through the public offering.
Mark A. Emalfarb: So the count is 36 million-plus shares. It's in the Q as well.
Ping Wang Rawson: Yes, it's also in the process that you can see the dilution impact.
Operator: And we'll go next to Louis Titterton, private investor.
Unidentified Analyst: Mark, it's been a long time since I've talked to you. How are you?
Mark A. Emalfarb: Good. Lou, how are you doing?
Unidentified Analyst: I'm doing great. I have a simple question. I think I heard that expenses were going to stay the same or drop for the next year while revenues are going to increase. Is there some point where we think we're going to cross over and be actually profitable?
Joseph P. Hazelton: Yes. So the goal is that we're cash flow positive by the end of 2026, and then we start to see increased profitability in 2027 and beyond.
Unidentified Analyst: That would be wonderful.
Operator: Our next question comes from Tony Bowers with Intro-act.
Tony Bowers: We've dealt with a lot of big clumsy organizations in the past that don't make decisions quickly. Which of your platforms has the least number of decision-makers involved to see commercial realization?
Joseph P. Hazelton: Tony, that's a great question. And to be honest, it's not really platform-specific, it's more product-specific. So to your point, when you're dealing with biopharmaceutical products that require human clinical trials, FDA or EMA regulatory review, that's a much higher burden and obviously, that's our C1 platform. But for things like food nutrition, bioindustrial, while there are some regulatory requirements that you do have to meet for, let's just say, food nutrition, whether that's a GRAS certification or the EU has their own methods of evaluating those, they're not nearly as stringent and they can be done in parallel as you're scaling up your process. So as you look at it, any of the products that we're currently focusing on for the research, diagnostic markets, food nutrition, bioindustrial, those are a factor of reaching the scale and cost efficiency needed to support its commercialization in the market. And as you can see like with albumin, in some cases, that's a 12 month or less path to revenue. In some cases, it could be a little longer. In some cases, it could be a little shorter, but it's really product-specific and kind of segment-specific.
Tony Bowers: And which of the markets has the largest addressable market and kind of best competitive factors?
Joseph P. Hazelton: That's another great question. And again I hate to say it this way but it is kind of market-specific. I think the highest addressable market is really that cell culture media market and simply because it's growing at a very high rate. And the need for non-animal solutions is much greater because from a regulatory standpoint, they're looking for consistency, purity and scalability. So those are things that are driving that market. Now the other markets like food nutrition and bioindustrial, those are, from a dollar standpoint, they're a lot larger so like non-animal dairy products, that's upwards of a $50 billion market. And again, we're targeting very select segments of those markets. But overall, I think the life sciences area is one where the demand is greatest. I think our platforms offer the best advantages and has probably the quicker path to revenue.
Operator: We'll take a follow-up question from Robert Hoffman with Princeton Opportunity Management.
Robert Hoffman: Yes. Just to clarify, so on my -- I was cut off on the fully diluted, so it's approximately 36 million?
Mark A. Emalfarb: Yes, exactly. And by the way, one thing, Robert, is we didn't issue any warrants to new shareholders.
Robert Hoffman: No, I saw that. That's expected. And I have a follow-up on the last person's question and I'm not asking for it today, but it would be very helpful for us to have some sense of the addressable market. When you said dairy is a $50 billion market, is that the end market or is that what the component that you might be selling into? And so it'd just be great for us to kind of get a sense of what you think the total addressable market would be for, let's say, albumin, I know I mispronounced that, but something like that. And then we can then say, "Oh well, if they got 10%, if they got 5%" because in my history is one of those where you're either going to get no percent or you're going to get a decent percent. Maybe you'll get 1%, but in these markets, you will either be accepted or you won't. And if you're accepted, you could be able to have a decent market here. So in some future presentation, it might be helpful for you to help us quantify those things.
Joseph P. Hazelton: Actually, Robert, it's a great point. And if you do happen to get to our website and pull up the most recent investor presentation, we do give total addressable markets for the life sciences, food nutrition and bioindustrial segments for the areas that we're going into, like cell culture media. We think that's approximately a $5 billion to $6 billion market opportunity for recombinant products. The top 3 revenue products in that category are albumin, transferrin, and growth factors. They account for probably $3 billion of that $6 billion market. And when you look at it in terms of, to your point, how do you capture share in that, Proliant Health & Biologics, our partner for albumin, is the second largest producer of naturally derived bovine albumin in the world. Their customer base is global and accounts for a large percentage of the albumin utilization today. So for us, it's about making sure we have the right partners in the right segments as well as products that can support commercialization. So you're 100% right. And hopefully, if you take a look at that presentation, it will provide a little more granularity into the markets.
Operator: And that does conclude today's question-and-answer session. I will now turn the call over to Dyadic's President and COO, Joe Hazelton.
Joseph P. Hazelton: Thank you. Q2 2025 marked a pivotal step in our shift to a commercially-focused enterprise. Through our rebranding to Dyadic Applied BioSolutions, leadership expansion and disciplined capital strategy, we're better positioned to deliver high-value, animal-free proteins and enzymes to growing life sciences, food nutrition and bioindustrial markets. With commercial launches approaching, a robust pipeline and strong partnerships validating our technology, we believe we're well placed to capture meaningful opportunities ahead. Thank you for your continued support, and we look forward to updating you on our progress.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.